Operator: Good morning, ladies and gentlemen. Thank you for standing by. I'd like to welcome everyone to the Canaccord Genuity Group Inc. Fiscal 2025 First Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference call is being broadcast live online and recorded. I would now like to turn the conference call over to Mr. Dan Daviau, Chairman and CEO. Please go ahead.
Daniel Joseph Daviau: Thank you, operator, and welcome to those of you joining us for today's call. As always, I'm joined by our Chief Financial Officer, Nadine Ahn. Our remarks today are complementary to the earnings release, MD&A and supplemental financials, copies of which have been made available for download on SEDAR+ and on the Investor Relations section of our website at cgf.com. Nadine will also be referring to our investor presentation available on our website and through the online portal for this conference call. Within our update, certain reported information has been adjusted to exclude significant items to provide a transparent and comparative view of our operating performance. These adjusted items are non-IFRS measures. Please refer to our notice regarding forward-looking statements and the description of non-IFRS financial measures that appear in our MD&A. And with that, let's discuss our first quarter fiscal 2026 results. Our first fiscal quarter was characterized by rapidly changing market conditions, which were primarily driven by trade and policy uncertainty. Following the announcement of substantial U.S. tariffs on key trading partners, global markets initially sold off but quickly reversed in news of the 90-day pause. For the 3-month period, we reported consolidated revenue of $448 million, which improved by 5% year-over-year but declined by 3% sequentially. Our Wealth business delivered consistent top line growth, contributing 54% of total revenue for the quarter with new quarterly records in the U.K. and Australia. Revenue in our Capital Markets division declined modestly when compared to the previous quarter and the same period a year ago, but the market disruption in early April had a notable impact on the revenue mix. Broad market M&A activity during the quarter was tilted towards large-cap deals, while policy and trade uncertainty stalled deal completions for many of the small and mid-cap focused sectors that we serve. As a result, the revenue contribution from our Advisory segment fell 27% year-over-year and 46% sequentially, with the sharpest impact observed in our U.S. operations. Our Trading businesses benefited from elevated volumes on both sides of the downturn, which partially offset the shortfall in Advisory revenue. This shift in revenue adversely impacted overall profitability in this division, particularly in our U.S. business as trading costs rose in line with the elevated volumes while earnings from higher-margin Advisory work declined. Revenue from Capital Raising activities improved substantially on a sequential basis, but came in modestly below the same quarter of last year, which was an exceptional period for this segment, largely driven by a more active underwriting environment in Australia and Canada. We completed 93 transactions during the quarter, raising over $16 billion for growth clients. Although transaction volume declined year-over-year, the average size of the transactions increased by 80%, indicating growing demand within our core focus sectors. The value of client assets in our Wealth Management division benefited from the market rebound despite the initial decline that was in line with the abrupt market downturn in April. We ended the quarter with a record $125 billion in client assets, driven by rising market values and complemented by recruiting and organic inflows. Despite some catalyst-driven outflows amid shifting risk appetite early in the quarter, net organic flows remained positive and the percentage of fee-based asset revenue contributions continued to trend higher. The adjusted pretax net income contribution from the division increased by 23% year-over-year, significantly outpacing revenue growth for the same period. We anticipate further gains over the next 6 months as ongoing organic growth initiatives and our recent recruitment and acquisition activities contribute meaningfully to our pretax profit margins. Our wealth management talent pool also continued to expand with new adviser teams onboarded in Canada and Australia and robust pipelines developing in both regions. In the U.K. and Crown Dependencies, we bolstered our capability by adding investment professionals and specialist teams through targeted recruitment and strategic acquisitions. Efforts to contain our firm-wide non-compensation expenses have continued, though the pronounced shift in our revenue mix tempered the effects of these efforts, resulting in a more modest pretax margin improvement during the period. Although our first quarter profitability fell below our expectations, we have had a productive start to the fiscal year. Early indicators point to steady momentum in our Wealth Management businesses, improving levels of client engagement, pipeline development and execution across the organization. Reflecting this confidence, our Board of Directors have approved a quarterly common share dividend of $0.085. And with that, I will turn things over to Nadine.
Nadine Ahn: Thank you, Dan, and good morning, everyone. I'll start with the performance highlights on Page 4 of our investor presentation. Firm- wide revenue improved by 5% year-over-year to $448 million. The year-over-year increase was primarily fueled by a 17% increase in commissions and fees revenue to $239 million and a 46% increase in principal trading revenue to $37 million, driven by substantially higher trading volumes during the 3-month period. Turning to expenses. As Dan mentioned, we are making good progress to reduce our non-compensation expenses, but certain expenses have remained elevated. Slide 7 in our investor presentation provides a breakdown of our first quarter non-compensation expense drivers. Firm-wide non-compensation expense increased $6 million or 4% year-over-year to $146 million. The largest driver of the increase relates to fixed or less controllable expenses, which were up $8 million during the quarter, primarily from foreign exchange, which accounted for 53% of the total increase, and higher premise and equipment costs related to our new flagship offices in Vancouver and New York as well as new branch locations in the U.K. and Australia. We anticipate that the year- over-year variance in premises and equipment expenses will begin to taper off in the second half of the fiscal year as we pass the 1- year occupancy milestones in each location. While investments in targeted growth have continued, development costs declined year-over-year as the prior period included a technology investment to support our organic growth in the U.K. and Crown Dependencies. This reduction was partially offset by higher trading expenses, driven primarily by increased activity in our IEG Group and, to a lesser degree, by recent acquisitions within our U.K. Wealth business. While we are making meaningful progress to curb discretionary spending across the organization, professional fees remained elevated due to our ongoing remediation efforts in the U.S. and the recent conclusion of 2 enforcement matters in Canada. Promotion and travel costs were also modestly higher this quarter, driven by recent conference participation and expanded client engagements. Compensation expense increased 6% year-over-year, primarily driven by stronger revenue, higher performance-based payments in our Canadian Wealth business and the impact of certain fixed compensation costs in the Capital Markets division, which were amplified by lower revenues in the U.S. and U.K. Our firm-wide compensation ratio was within our desired range at 60%. Our effective tax rate declined by 5 percentage points year-over-year, largely due to the impact of a higher share price on deferred tax assets associated with our share-based compensation. Firm-wide profitability and earnings per share for the 3-month period were flat on a year-over-year basis. On an adjusted basis, pretax net income of $33 million improved by 4% sequentially and earnings per share of $0.13 improved by 8% compared to the most recent fiscal quarter. I'll discuss the drivers of this result within the overview of our segment results. Our Wealth Management businesses earned revenue of $243 million, representing the sixth consecutive quarter of a record revenue for this division. The increase was primarily driven by higher commission and fee revenues from all regions. Our Wealth business in the U.K. and Crown Dependencies contributed record quarterly revenue of $126 million, up 17% year-over-year and 7% sequentially. Slide 12 provides an overview of client asset flows in this business. Measured in local currency, client assets increased by 9% year- over-year to a record GBP 38 billion. Net flows remained positive, but robust inflows were partially offset by a small number of catalyst-driven outflows early in the quarter. Fee-based assets now comprise 64% of total assets in the U.K. Wealth business, an improvement of 3 percentage points compared to the same period of last year. On an adjusted basis, this business delivered GBP 30 million in pretax net income for the first quarter, representing a 31% year-over- year increase. The adjusted pretax profit margin also improved by 2.5 percentage points to 23.6%. And finally, normalized EBITDA of GBP 21 million for the 3-month period reflects a year-over-year improvement of 8.5%. Our Canadian Wealth business contributed first quarter revenue of $94 million, an increase of 5% year-over-year, but a decline of 6% sequentially. The impact of the early quarter downturn and the resulting sharp decline in the market value of client assets adversely impacted commissions and fees revenue recognition, which typically lags AUA growth. Client assets reached a new record of $45 billion at the end of the 3-month period. As outlined on Slide 11, higher market valuations were a major contributor to this increase. Consistent with trends in our U.K. business, net flows remained positive, although early quarter volatility triggered some circumstantial withdrawals that partially offset inflows. The business continues to advance its strategic goal of growing fee-generating asset contributions, which represented 55% of total assets at the close of the first quarter. Growing our fee-generating asset share enhances revenue stability and supports our priority of improving asset quality and enhancing client value. Compensation expense in this business rose by $5 million year-over-year due to increased share-based compensation driven by the absence of a prior year recovery of certain share-based awards. The increase also reflects higher adviser payouts tied to our revenue mix during the 3-month period. First quarter adjusted pretax net income in this business was flat compared to the fourth quarter of last year at $9.2 million. Adding back noncash development charges, normalized EBITDA in our Canadian Wealth Management business for the quarter was $16 million, a decline of 7% year-over-year, largely reflecting the impact of the previously discussed compensation expense and the modest reduction of corporate financing and interest revenue. And finally, our Australian Wealth business generated record revenue of $23 million, increasing 25% year-over-year and 11% sequentially. Measured in local currency, client assets grew to a record of $10 billion, an increase of 37% year-over-year and 6% sequentially. This represents the fourth consecutive quarter of record assets under administration, underscoring our momentum in the region. This business generated first quarter adjusted pretax net income of $2 million, an increase of 52% year-over-year and 96% sequentially, the highest result since our third quarter of fiscal 2022. Profitability in our Australian operations is improving, albeit at a moderated pace as we prioritize investments to fuel long-term growth. The adjusted pretax margin for the first quarter improved by 1.5 percentage points year-over-year and by 3.6 percentage points sequentially to 8.2%. Turning to our Global Capital Markets division. As Dan mentioned, the tariff-related market disruption led to a shift in the revenue mix in this division, resulting in a lower contribution from higher-margin advisory revenue, which was partially offset by increased contributions from the trading and commissions and fee segments. Consolidated revenue of $200 million decreased by 3% year-over- year and by 6% sequentially. Notwithstanding a strong and diverse pipeline, a decrease in M&A completions contributed to a revenue decline of 27% year- over-year and 46% sequentially to $49 million for the Advisory segment. The decline was most pronounced in our U.S. and U.K. businesses. The technology sector remained active, while the consumer sector was most impacted. Advisory revenue in our Canadian business increased on both a sequential and year-over-year basis as efforts to improve the longer term revenue profile of this segment continue. I will also note that as advisory activity has become a more meaningful component of our Capital Markets business in Australia, we have begun reporting this revenue segment separately, beginning with the current quarter. Contributions previously classified under investment banking in fiscal 2025 have been restated accordingly. Corporate financing revenue of $62 million increased by 56% sequentially, but declined by 4% year-over-year and against an exceptional performance in the prior year, which was most notable in our Australian business. While the mining sector was the largest contributor in this segment, improving activity in our other core sectors have extended into the current quarter. Revenue from principal trading increased by 52% year-over-year to $38 million and 88% of this amount was contributed by our U.S. IEG business, which benefited from increased trading volumes as a result of the heightened broad market volatility early in the quarter. We remain on track to complete the sale of this business in the current fiscal quarter. And finally, the contribution from the commissions and fees segment improved by 8% year-over-year to $41 million. The adjusted pretax net income from our Capital Markets division amounted to $5.5 million for the quarter compared to $13 million in the same period a year ago. Improved contributions from our Canadian and Australian businesses were partially offset by losses in our U.S. and U.K. operations. Non-compensation expense in our U.S. business reflected elevated general and administrative costs tied to our previously disclosed enforcement matter, alongside higher premises and equipment expenses as noted earlier. Despite cost discipline, profitability in our U.K. business was impacted by the downturn in M&A completions during the quarter, in addition to the continuing trend of subdued corporate financing activities in the region. On a consolidated basis, the adjusted pretax profit margin in our Capital Markets division saw a modest improvement versus the prior quarter. However, lower advisory revenues and increased trading costs constrained our growth objectives. Ongoing progress in our cost-efficient initiatives, coupled with the recovery in advisory and corporate financing activities is expected to support the achievement of our targeted margin improvement for this fiscal year. We are making strong progress across firm-wide cost efficiency initiatives with efforts expected to continue. As we accelerate both organic and inorganic growth strategies and execute effectively for our clients amid improving business conditions, we remain confident in our ability to enhance firm-wide profit margins and deliver our targeted single-digit growth for the current fiscal year. Turning to the balance sheet. We maintain sufficient working capital to support our strategic priorities and expanded business activity while preserving the flexibility to reallocate capital as market conditions evolve. With that, I will turn things back to Dan.
Daniel Joseph Daviau: Thanks, Nadine. Our second fiscal quarter is off to a productive start with the market conditions largely aligning with the outlook we shared in June. Investor sentiment is already improving, supported by strong corporate earnings, improved clarity on tariffs and signs of stabilization in the equity markets, which are conducive to stronger deal flow. Looking ahead, we anticipate continued fee growth across our Wealth Management business in line with the broader market momentum. We also expect continued margin improvement as we leverage the benefits of recent acquisitions and our growing talent pool. Client engagement remains high across our Capital Markets' verticals. We are seeing improved CEO confidence in our core sectors, which supports decisive action and execution even while we navigate the complexities of geopolitical risk and shifting trade dynamics. Our Advisory pipeline looks resilient, and provided the environment holds, we anticipate a constructive environment for our corporate finance activities. Although the IPO market has yet to fully reopen, the backdrop continues to improve. Our proven leadership in this space positions us well to capitalize on emerging opportunities. Next week, we will be hosting our 45th Annual Growth Conference in Boston, which will be our largest ever. We've hit new records for registration with an impressive mix of private and public companies and investors from all 4 continents, which is a strong indicator of improving confidence across dynamic growth sectors and the investors who follow them. With that, Nadine and I will be pleased to take your questions. Operator, please open the lines.
Operator: [Operator Instructions] Your first question comes from David Pierse from Raymond James.
David Pierse: First question is just sort of a tidy up question. The incentive plan true-up for U.K. Wealth, it's not the first time we've seen it, but it was slightly more impactful this quarter. Can you remind me what causes that to move up or down?
Nadine Ahn: It's Nadine. It's primarily due to the valuation of the U.K. Wealth. In addition, we kind of accrue into that new valuation. So it's another 3 months of accrual into that number, which would be higher given an increased value of U.K. Wealth Management.
David Pierse: So you just have a market-based valuation that you apply based on, I don't know, EBITDA. And then depending on what...
Nadine Ahn: Correct.
David Pierse: Okay.
Nadine Ahn: Correct.
David Pierse: Okay. That's helpful. Sticking with -- maybe moving to wealth in Canada, we saw one of your wealth competitors here in Canada announce an agreement to be acquired. Maybe a good time to ask, like what's your view on the wealth market from a consolidation, M&A standpoint in Canada? At the very least, it looks like the cost needed to run these businesses is going up, which suggests scale is becoming more important. Do you expect that will drive more consolidation? And then what role do you think Canaccord will play in that?
Daniel Joseph Daviau: Yes. I mean, as you know, we've grown our Canadian Wealth business over the last 9 years from $8 billion to $45 billion of assets, and we reported $16 million of EBITDA this quarter in our Canadian Wealth business. There's not a lot of independent competitors. I guess if you consider the insurance companies independent, I don't, then you'd say there's lots of independent competitors. But there's really Upscale, there's us and Wellington-Altus now, with Richardson trading to Industrial Alliance. So if there's a group of advisers who don't want to work for a large institution, being it a bank or an insurance company, there's not a lot of full-service offerings for them, and we'd be the only one, quite frankly, attached to a capital markets business. So we love our competitive position in Canada. We continue to have an active pipeline of recruits. We brought on another adviser in Calgary this last quarter. We brought on over 60 teams of advisers to our platform over the last several years and over $20 billion of assets in doing that. So we think our model of organically growing our business and giving the tools to our advisers to continue to grow the business works very well, as well as competitively recruiting in this space when, quite frankly, there's just not a lot of alternatives, especially high- quality alternatives for the high-quality investment advisers to go to. So we love our competitive position and where we stand. And this transaction, hopefully, it's a good thing for the Richardson family. They were -- that's a business that struggled to grow over the last 8 years. It was $30 billion 5, 6, 7 years ago, and it's $40 billion today. It was a business that struggled to grow, and, obviously, they felt that there was a better home for that. So does that answer your question because I can't quite remember what your question was?
David Pierse: Yes. No, it was more around just sort of the M&A team. And granted, obviously, there's a -- as you said, there's not -- there's only a few select number of independents remaining. So -- but maybe just sticking with Canada Wealth, like what are you seeing just from a competitive standpoint in terms of recruitment? Is the market growing more competitive in terms of trying to attract advisers? Or...
Daniel Joseph Daviau: No, no, I think it's the same. I mean the recruit -- the deals that we offer to investment advisers to come here haven't changed materially. The pipeline of activity is probably as robust as it's ever been in terms of bringing people over. So nothing's changed. I think, if anything, the competitive environment for recruiting brokers, if that's your question -- with Richardson part of a bigger firm now or to be part of a bigger firm probably improves -- probably becomes less competitive, not more competitive. They didn't -- they were attracting some brokers as well, obviously. So I'd argue it becomes -- again, if you don't want to work at a bank, you have very few -- a bank or an insurance company, you really have very few alternatives. The banks still control 90% of the full-service wealth assets of $2.5 trillion. We're at $45 billion. It would just be a small dent in the marketplace for us to grow to $100 billion, like it would be 5% of the market, that.
Operator: And your next question comes from Michel Marceau from TD Securities.
Michel Marceau: Just stepping in for Graham here. First question, just to stick with the Canada Wealth theme, revenue came in a little bit lighter than forecast. Is there anything you would call out that was maybe a particular drag on fees in the quarter?
Nadine Ahn: It's Nadine. It really related to the fact that we saw the markets come off so significantly in April when the AUA came down. So we expect that to improve as we've seen the markets significantly move up. As you've seen, we've hit $45 billion in assets at the end of the quarter. We did have a dip at the beginning of April. And so that just called our fees to come down. Most of our book is paid on a monthly basis.
Michel Marceau: Okay. So just the average AUM. Okay. Understood.
Nadine Ahn: Correct.
Michel Marceau: Also just – okay. The $2.5 million provision towards the legal provision, was that related to the ongoing U.S. matter? I saw the net pool come down, but there was a further provision to it. Was that related? And just any broader update on that -- on the regulatory matter, if you have one?
Daniel Joseph Daviau: Yes, that's what that provision was for. It was for the ongoing regulatory matter in the U.S. And we have no significant update. Again, it's just kind of -- it's not completely in our hands, right? There's changes with undersecretaries and secretaries and heads of departments, and there's a lot of transition going on post the election there. So it's hard for us to predict the time line. We continue to have constructive dialogue, but ultimately getting to a settlement, there's -- we don't have any substantive update.
Michel Marceau: Okay. Understood. And just one more quick one, if I may. Just outlook on M&A advisory in the U.S., in particular, given it was a little bit soft this quarter, understanding the macro themes taking place right now. Just what's your outlook for the next couple of quarters?
Daniel Joseph Daviau: Yes. And again, thanks for asking just the next couple of quarters because we actually have visibility on that. Yes, strong. We expect a significant improvement in our M&A revenue over the next couple of quarters. It feels like things just got pushed out as opposed to debt. That's what it feels like.
Operator: There are no further questions. Mr. Daviau, you may proceed your conference.
Daniel Joseph Daviau: Thanks, everyone, for joining us in the dog days of August. We understand there's a bunch of other companies reporting in our sector this morning, so I appreciate you making time. And I appreciate some of our analysts are double booked, but we're always available certainly for questions later on. Our next update is in November. So thank you very much for joining us.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you very much for your participation. Please disconnect your lines. Have a great day.